Operator: Thank you for joining us today for the TOMI Environmental Solutions Investor Update Conference Call. On today's call is TOMI's CEO and Chairman of the Board, Dr. Halden Shane; and Nick Jennings, TOMI's CFO. Dr. Shane will provide an overview of recent business highlights and discuss critical financial benchmarks for the most recent quarter before addressing any questions you may have. 
 A telephone replay of today's conference will be available through November 19, 2020, and the details are included in the company's press release of November 9, 2020. A webcast replay will also be available at TOMI's website, www.tomimist.com. 
 Please note, the information contained within this call is relevant only to the day of which it is recorded, November 12, 2020, and you are, therefore, advised that time-sensitive information may no longer be accurate at any time of replay. 
 Certain written or oral statements made by management of TOMI may constitute forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Forward-looking statements are identified by such words and phrases as we expect, expected to, estimates, estimated, current outlook, we look forward to, would equate to, projects, projections, projected to be, anticipates, anticipated, we believe, could be and other similar phrases. All statements addressing operating performance, events or developments that the company expects or anticipated -- anticipates will occur in the future, including statements related to revenue growth, earnings and earnings share per growth -- earnings per share growth or similar projections are forward-looking statements within the meaning of the Reform Act. They are forward looking, and they should be evaluated in light of important risk factors that could cause our actual results to differ materially from our anticipated results. The information provided in this conference call is based upon facts and circumstances known at this time. The company undertakes no obligation to update these forward-looking statements after the date of this call. 
 I will now proceed to give the call to TOMI's CEO and Chairman of the Board, Dr. Halden Shane. 
Halden Shane: Thank you, and welcome, everybody, for joining TOMI Environmental Solutions' Third Quarter 2020 Earning Call. We certainly hope you and your family continue to remain safe and healthy in what remains an ever-changing and challenging environment for all. 
 For those new to the company, TOMI manufactures, licenses, services and sells our SteraMist brand of products, including SteraMist BIT Solution. SteraMist is a hydrogen peroxide-based fog and mist that was invented under a defense grant in association with the Defense Advanced Research Projects Agency, or DARPA, of the United States Department of Defense. BIT is registered with the United States Environmental Protection Agency, the EPA. SteraMist iHP is on the EPA's list G, H, K, L, M and N for COVID-19. List G is for norovirus; H is for MRSA; K is for C. difficile spores; L is for Ebola; M is for avian flu or influenza as we knew it; and N is an emerging viral pathogen, which includes our SARS-CoV-2. 
 Our technology uses a low-percentage hydrogen peroxide as its only active ingredient to produce a fog composed primarily of hydroxyl radicals. This is known as ionized Hydrogen Peroxide, trademarked iHP. Represented by TOMI's SteraMist brand of products, iHP produces a germ-killing aerosol that works like a visual, non-caustic gas. TOMI acquired the technology in 2009 and commercialized the product in 2013. Our Binary Ionization Technology, or otherwise known as BIT, is used in Hospital-Healthcare, the life sciences, service industry and commercial facilities throughout the world.
 SteraMist is very effective that it consistently delivers 6-log 99.999% kill. It's eco-friendly and registered as organic. SteraMist is unique in the disinfection/decontamination industry because it does not damage materials, finishes, antiques, art, electronics or any technology, including delicate medical and scientific instruments. SteraMist is applied in seconds and does not leave residue nor does the user need to wipe down or remove it from any surface. 
 In health care, TOMI continues to leverage its capabilities to meet the needs of our health care providers and first responders that are at the forefront of this pandemic. TOMI, working with our customers to educate and assist with the recommendation of operational protocols for disinfection and decontamination. 
 COVID certainly brought disinfection to the forefront of our everyday life and conversations. But it's important to remember, it's not the first nor will it be the last pathogen the world sees. After years of steady growth, due to COVID, TOMI's revenue surged for the first half of this year as companies around the world rushed to acquire disinfecting equipment and were looking for new disinfection technologies that were available and could be quickly implemented into their organization.
 Conversely, revenue declined in the third quarter of 2020 relative to the second quarter due to customer budgetary difficulties and to the organization's focus on training new customers, including writing new COVID training programs on how to use the product. I will once again reiterate that TOMI is a long-term investment, and we believe the long-term outlook for the company is extremely strong. TOMI's core mission is to make SteraMist the gold standard in the industry. Our investors have always believed this, and I thank each and every one of them for their dedication and support throughout the years. 
 TOMI's net sales were $4.3 million in our third quarter of 2020, an increase of 168% compared to the same prior year period. This number exceeded our expectations that we set out. For the 9 months ended September 30, 2020 and '19, our total revenue was $21.4 million, an increase of 376% compared to the same prior year. 
 Income from operations was approximately $1.1 million compared to a loss from operations of $188,000 for the same period of the prior year, representing an increase of approximately $1.3 million. The improvement in net income is primarily due to revenue levels that exceeded higher operating costs due to increasing staff and the costs associated with our international operations. 
 Our net income for the third quarter was $1.1 million or $0.06 on a per-share basis compared to a loss of $237,000 or $0.02 on a per-share basis, representing an increase of $1.256 million. As of September 30, 2020 and December 31, 2019, cash and cash equivalents of $5.9 million and $897,000 represented an increase of $5 million. 
 COVID has presented a great opportunity to create awareness for TOMI's premier disruptive technology, SteraMist. Facilities of all industries are decisively and diligently comparing disinfection products to adopt in order to safely bring their workforces back to the office. Our client list alone, many of whom joined us prior to the COVID pandemic, continues to contain blue-chip clients and is ever expanding. Working capital has increased by $13 million since December 31, 2019. In summary, our cash and liquidity position improved in the third quarter due to increased revenue that translated to cash flows generated from operations. 
 The TOMI team accomplished a lot during the year. We were able to maintain support for existing customers as well as onboard new customers in existing and new industries. This success was due to their ability to quickly onboard customers as well as expand support into our new commercial division. Our commercial division is responsible for approximately 37% of TOMI's new customers that we've onboarded during the first 3 quarters. As these new customers begin to implement SteraMist in their day-to-day cleaning protocols, we expect an increase of BIT Solution sales to be evident. 
 TOMI has shown a 267% increase in revenue in its Hospital-Healthcare division when comparing to 3 months ended September 30, 2020, compared to the same period in the prior year. However, acquiring and onboarding new customers has been challenging due to Hospital-Healthcare budget constraints as hospitals were closed during COVID for any nonessential care and, therefore, have very restrictive budgets. The majority of revenue during this year for the Hospital-Healthcare division is in recurring equipment orders from current customers. Examples, North East Medical Services out in California and Gila River Health Services in Arizona who, throughout the year in separate orders, have purchased a total of 12 and 10 SteraMist surface units, respectively. 
 We continue to strive for SteraMist in everyday protocols for not only COVID but the control of transference of pathogens such as C. diff, MRSA and other HAIs. Onboarding new health care facilities is experiencing delays due to budget constraints imposed on these facilities. Patients have been avoiding hospitals and medical centers alike due to COVID. And a majority of domestic health care facilities have been unable and limited to complete elective surgeries and treatments, which has affected their budgets to make capital expenditures. The interest in SteraMist to these facilities continues, and we expect the growth as the world reopens in post-COVID world. 
 I want to take a few minutes to explain the competitive dynamics of our marketplace. We provide an integrated solution to solving disinfection/decontamination problems. It consists of a specific concentration of our BIT Solution that is converted to a highly effective mist by our proprietary equipment. Our BIT Solution cannot deliver the same results on any other equipment nor can our equipment achieve 6-log kill rates with any other liquid product. If clients want 6-log rates, they must use our turnkey solution. 
 Earlier this year, many companies sold anxious buyers thousands of machines and tank cars of liquid products. These buyers deploy these solutions and use them regularly. At first, the results and upfront costs were acceptable to the buyers and their superiors. However, it has become increasingly clear to us over the last 90 days that most are failing, destructive or both. We are adding staff to our commercial division to keep up with the inbound opportunities from remorseful buyers of disinfection solutions. 
 Facts are that TOMI has more experience in delivering the desired protection safely and effectively than these other firms that are new to the industry or sought to exploit the pandemic. We have over 40 patents issued and dozens pending on a worldwide basis. We have EPA, FDA approval for our solution, some of which we earned over years of testing and retesting. We learned years ago that it's not easy to do it right while doing it safe. We also understand it to be an important asset for TOMI. 
 COVID not only brought disinfection, decontamination and infection control prevention to our daily conversations as a global priority, it has also led to an industry tainted with harmful chemicals and products that are less effective, some of which are not EPA or FDA approved and less effective. Although less effective and harmful, facilities worldwide have been willing to risk that initial investment in these sub-performing products than our DARPA-invented disinfection solution, SteraMist, in order to implement mandatory cleaning protocols.
 We are seeing a behavioral shift among these customers, like I said, over the last few months. TOMI continues to see potential customers across its health care, TOMI Service Network or TSN and commercial divisions return to TOMI's sales pipeline after previously having invested in such products and witnessing the damaging consequence of using these products to their personnel, equipment, furniture and other surfaces in their facilities from products such as electrostatic sprayers, chlorine dioxide, vital oxide and biostatic surface protectants. Therefore, TOMI continues to work through potential customer budget constraints in order to provide them our noncorrosive and non-harmful by-product disinfection. 
 Facility procurement offices are realizing the lower-cost products on the market are, in fact, a much higher investment as the other products are damaging furniture, expensive equipment and other surfaces after 6 to 7 months of consistent use and are now required to be replaced due to the damage. This trend of opportunities reemerging should continue for TOMI as we enter into 2021 as the messaging that our product reduces operating costs in the long run. 
 In addition, new markets within our commercial division are showing increased interest in implementing SteraMist. This interest pairs nicely with the onboarding of Boeing and other partners domestically and internationally who are conducting studies on SteraMist and its superior material compatibility. While our submicron particles guarantee a 6-log kill of various pathogens in all areas of an aircraft, change in the aviation industry is a long process as many of its regulators have been standardized for years. 
 Some of these lower-cost electrostatic products that were developed for the control of mosquito and fly control have proven to be competitive in the market and in the fight against COVID throughout the year. It's important to remember, TOMI SteraMist BIT was developed for pathogens far more dangerous and much harder to kill. SteraMist equipment is a large initial investment in comparison to other disinfectants on the market because there's no other disinfectant solution that can treat almost 4,000 cubic feet in 45 minutes or spray surfaces for 5 seconds with no wet time. 
 Further, where other disinfectants will have a select few of these advantages, SteraMist has all the competitive advantages required in disinfection: a no-wipe, no-rinse, no-residue, noncorrosive, high-level efficacy developed by DARPA for anthrax spores, quick turnaround time, superior material compatibility and are submicron particles, which allows the mist to reach every area being treated regardless of what is in the space. 
 All the above-mentioned advantages are why TOMI's life science division was the first to exponentially grow. However, due to COVID, a majority of our customers in the life science division are not back to work at 100% capacity. Thus, our BIT Solution reordering is below normal levels for that division. The pipeline of new customers for our products, including mobile SteraMist equipment, iHP corporate service and the manufacturing of our custom-engineered system, have been delayed until 2021 or until the pandemic subsides. 
 Our service-based revenue for the 3 months ended September 30, 2020 and 2019 showed a decrease of 8% when compared to the same period of the prior year, which is attributable to a onetime emergency iHP corporate service job in the third quarter of 2019 for our life science customers. For the 9 months ended September 30, 2020 and 2019, service-based revenue showed an increase of 76%. This increase in our service-based revenue was attributable to higher training sales recorded in connection with onboarding new customers in the first 3 quarters of this year. 
 Our TSN division continues to show an increase quarter-over-quarter for the same previous periods in 2019. The third quarter of 2020 revealed an increase in TSN total revenue of 635% and an increase of 133% in new TSN memberships when compared to the third quarter of 2019. As we have previously reported, the growth we saw in our TSN division in the second quarter was in direct response to the COVID pandemic. 
 We outperformed the broader remediation service market that has shown a decline in revenue in the United States and Canada as their normal services were suspended, and those fighting national disasters were not able to implement disinfection in other areas of their business. This division has also shown an increase in competitive purchasing   similar to our Hospital-Healthcare division mentioned earlier with the same findings of damage to property using consistently electrostatic sprays. 
 TSN currently makes up 32% of direct end users who purchase SteraMist. TOMI is continuing to train, onboard and support all new members daily, and 70% of its members are routinely using SteraMist with much success assisting their local communities. BIT Solution sales will increase significantly because of these dedicated members in the near future. BIT solution sales increased by 509% when comparing the 9 month ending September 30 to the same period in 2019, and TSN BIT Solution makes up 48% of TOMI's current overall BIT Solution revenue. 
 TOMI has experienced increasing loyalty among its TSN members as they are expanding their business by adding multiple facilities throughout the United States and Canada with focus on hotels, fast food chains and moving companies. VP Envirocare, a new TSN company operated by seasoned directors of multiple medical device companies, has implemented SteraMist as their disinfection solution in 4 of their branches nationwide: Detroit, Michigan, Orlando, Florida; and 2 in the New England area, with the confidence to open an additional 11 locations in the near future. 
 TOMI continues to support, promote and educate its TSN members in disinfection/decontamination, another impressive endeavor of TOMI's personnel, which should pay off in revenue for quarters to come as other service networks in our industry do not represent the same level of support. This support is shown in recent case studies provided by some of our network members in the food safety division. Although COVID hasn't been a significant driver of revenue in food safety up to this point, our network members are disinfecting regularly in the marketplace, including grocery stores, restaurants and fast food chains. TOMI's corporate continues to cultivate new partnerships with large food safety suppliers, and we are on target to announce a new premier customer within the upcoming months. 
 As current multiple USDA facilities continue to use SteraMist, TOMI has received an increase in government bid disinfection requests with SteraMist being named directly on government bids. For example, in the third quarter of 2020, TOMI sold 5 SteraMist units across 3 counties in Florida for emergency service. We have devoted a team to submitting bids against the competition, enhancing our brand awareness. Some of the highest profile government locations in the United States are currently and have been using our technology and solution during COVID.
 As questioned in our last quarter earnings and on the call, there still remains no imminent time line for approval by the FDA for treatment of previously used N95 masks. TOMI personnel who are dedicated to this endeavor, although frustrated, patiently continues to work closely with the FDA and its partner hospitals, Dana-Farber Cancer Institute at Harvard, University of Iowa and Cedars-Sinai of Los Angeles, on emergency use applications to treat N95 respirators and PPE with iHP, ionized Hydrogen Peroxide, so these valuable resources can be safely reused. 
 It seems that throughout this process, the FDA kept moving their goalpost, adding more quarters to the game as we kept meeting the requirements. While this has been a long journey, we hope that it concludes with TOMI securing an FDA approval for this application and the related standards apply to all on an equal basis. Again, TOMI is blazing the trail to a new standard in this specialized area. The ability to treat PPE with an individual hospital setting allows users control over the process and scalability to meet their current and future demands. TOMI is positioned with special SteraMist packages ready to address the hospital needs and meet the requirements set for the reprocessing of N95 masks by the nurses' union. 
 Domestic revenue for the 3 months ended September 30, 2020 and 2019 was $3.4 million and $1.3 million, respectively, an increase of 168%. The 9 months ended September 30, 2020 and 2019 were $15.4 million and $3.8 million, representing an increase of 301%. 
 Internationally, revenue for the 3 months ended September 30, 2020 and 2019 was a little over $846,000 and $312,000, respectively, an increase of 171%. Again, the 9 months ended September 30, 2020 and 2019 were $5.9 million and $640,000, representing an increase of 828%. 
 Overall, we have grown domestically at a faster rate than internationally because of travel restrictions that have been placed worldwide due to COVID-19. This makes it difficult to assist our current international distributors and perform demonstrations, including writing recipes to deliver and win new sales. 
 Our current customer, ITH Pharmaceuticals' third custom-engineered system, call it the CES, went live this past quarter and is now set to order approximately 6 55-gallon drums, 1 every 2 months or approximately $300,000 in BIT Solution by 1 customer for 1 year. We were building off our experience in the CES systems at Dana-Farber and Pfizer Chesterfield, Missouri, which has a 20-applicator system in 4 of their clean rooms, the rooms that perform the research and development of the current Pfizer COVID-19 vaccine.
 The CES system allows for quicker turnaround times for decontamination, thereby increasing the frequency of testing. As our other custom solutions get back to routine use, we should continue to see significant growth, specifically in BIT Solution sales, both domestically and internationally, in 2021. When all the travel restrictions are lifted and nonessential pharmaceutical facilities get back online, this should also allow our engineering teams to do the specifications and walk-throughs of new facilities wanting to buy and install CES systems. 
 Finally, TOMI will be finalizing and installing its permanent fogging system at its Maryland main operations center. This system's software will contain all the possible configurations to our CES product line and serve as a demonstration unit to potential future customers. In addition, TOMI CES built in will provide additional revenue in our iHP corporate service division as we will decontaminate local emergency and community vehicles and equipment. 
 The COVID pandemic has led to a new style of enhanced disinfection worldwide, a robotic method. TOMI has endorsed this style and has been diligently designing and testing on 4 different models for different applications, dependent on divisions and new sites where our global partners. SteraBot, as we call it, will leverage the latest technology in automatic guided vehicle and will be able to map a new environment, perform autonomous navigation and conduct disinfection routine based on priority algorithms. TOMI already has one test model SteraBot in the field at Lithuanian University Hospital.
 TOMI has made strides in the development of the SteraPack in 2020, something that I'm extremely excited about. A prototype is set to be delivered shortly. We have a tentative launch date, the late first quarter 2021, possible the first couple of weeks of the second quarter. The SteraPack will be battery operated, will be less of an investment for the end user and another option for mobile decontamination solution for our Hospital-Healthcare, TSN and commercial divisions. Launch of this product will completely -- effectively compete with the hurdles discussed above against our competition and easily take market share against electrostatic sprayers and comparable competition, bringing a superior, cost-effective, efficient and noncorrosive answer to these industries with the same benefits of all our SteraMist products. 
 Long-term investors recall that TOMI secured 4 original patents in the United States when the company acquired the IP rights of our DARPA-invented technology. TOMI has currently over 40 patents around the world with an even greater number of patent applications being currently prosecuted worldwide and close to 200 trademarks accepted or pending approval in over 5 classes. TOMI is currently submitting additional patents and trademarks to secure ownership in new product lines being introduced, including SteraBot, the SteraPack and other new innovations not yet public. 
 All our innovations are brilliant and will only add to the success of our company going forward. I personally can't wait to see these hit the market. It's a very exciting time. It's an honor to be involved with a company that keeps innovating for a safer world. However, we expect our research and development costs to go up in the near future, the price of creating long-term shareholder value. 
 TOMI continuously and aggressively seeks new customers locally and globally, new executive sales division leaders and managing new and continuing efforts relating -- related and unrelated to the current pandemic, executing our growth plan for all divisions consistently, both domestically and internationally. 
 TOMI's budget delivered to our Board of Directors in 2019 was approximately $18 million for 2020. We have exceeded that by $3 million in the first 3 quarters of the year. We expect that our budget should increase to approximately $38 million to $41 million for 2021. 
 Other notable milestones include launching of a new division this year in the second quarter, the commercial division. Our commercial division showed growth in the third quarter when compared to the previous quarter. Quarter-over-quarter growth in revenue across our original 3 divisions: Hospital-Healthcare, Life Sciences and TOMI Service Network. As promised in the second quarter, we were up-listed to NASDAQ under TOMZ.
 The launch of our new redesigned website, including its investor site. New users to our website have increased by 117%, and the average session is up by 115% this year-to-date when compared to all of 2019. The installation of a cloud-based ERP system, and we are close to completing the implementation of worldwide service centers. Our first authorized service center will launch in Singapore and will be followed by one in the United Kingdom and South Korea. 
 As you probably saw, we filed an S-3 registration statement for $50 million, which has been declared effective by the SEC. Having completed the process of up-listing to NASDAQ, we wanted to create the flexibility to have access to capital to support our growth plans. We do not currently have plans to pursue an offering but are continuously evaluating investment opportunities that may potentially require outside capital. Any potential offering would target funds through the expansion of our TOMI team, specifically an internal sales team led by executives in each division, along with the expansion of our Maryland main operations center. 
 We continue to enhance and develop new products, including the manufacturing of our latest inventions, soon to be released, the SteraBot and SteraPack; further intellectual property for patents, utility and design and trade names and logos, especially as we develop new products, each product requires protection worldwide; adding service centers domestically, specifically working with members in the TOMI Service Network; and finally, but not all-inclusive, the onboarding of an investor relations and public relations enterprise. 
 I can assure you we are making headways in becoming the industry gold standard in many of our markets in our divisions and look to the future to becoming the standard across all markets worldwide. I'd like to thank our team as they have all been working around the clock prior to and through this pandemic. All of the above could not have been achieved without their dedicated efforts and determination. And finally, we thank everyone giving us an opportunity to be the premier disinfection technology in the ever-changing complex world that we are in. 
 People are seeing germs in a different way. And as a result of this pandemic, there is a permanent shift in infection control protocols, and these changes will be forever. TOMI strives and will always strive to innovate for a safer world. SteraMist was here before COVID-19 pandemic and will be here long after it disappears. 
 Operator, our CFO and myself will take a few questions. Thank you all for joining. 
Operator: [Operator Instructions] Your first question is coming from [ Michael Kay ]. 
Unknown Analyst: Given the substantial progress the company is making in terms of earnings and revenues and the research development, what is it doing to make the Wall Street investment community more aware of the company since I think it's very much not even on the radar of large segments of the investor population? 
 And also, I'd like to ask the -- why do you think the FDA is so sluggish given the demonstrated efficacy of the technique and the SteraMist? Why do you think, especially at this time, that they are so sluggish in certifying it for additional uses? 
Halden Shane: Okay. Thanks for the question. So the first part is we just recently got up-listed to NASDAQ, as I'm sure you're aware. We are bringing in an Investor Relations firm that will assist in making Wall Street, as you say, more aware of our product. We are also going ahead and doing interviews. I just finished one for Ameritrade not too long ago and have more scheduled to be delivered in the next week or 2. And that sure will help assist having -- making them all aware. 
 The second part of the question is a little more complicated to answer. I feel that the FDA quickly approved some products that they probably should have taken a step back and performed further testing on, in fact, the testing that they are now putting us through. In saying that, if you can read this, a lot of the various articles that are written, nurses and nurses' unions are having trouble with the reprocessing of these masks with these caustic materials. We've proven to the FDA that we don't have a caustic material. And now they've gone ahead and asked us to go further and do all sorts of intra-filtration testing to demonstrate this for them. 
 So I believe that they're using our research arm and our phenomenal partners that are out there in the academic world that have been put through pure hell in delivering results to the FDA. I think that shortly, once we get the rest of the testing in, they will definitely go ahead and approve our product. And I was saying that we'll see what happens. Thanks for the questions. 
Operator: Your next question is coming from [ Houston Meeks ]. 
Unknown Analyst: The performance of the third quarter is disturbing in that it is not in line with the growth of the second quarter. Is that so -- and I don't really feel that the -- you provided significant rationale for that, especially with the continued pandemic issues and everything else. You are a vital industry and should be able to operate as such, regardless of these hiccups that other companies might represent. 
Halden Shane: Are you... 
Unknown Analyst: What's going on here? 
Halden Shane: Are you new to the company? 
Unknown Analyst: No, sir. I am not new to the company. I've been involved with the company for at least a year. 
Halden Shane: Oh, okay. Well, then you knew the -- so the company has been around for quite some time. And... 
Unknown Analyst: No, I understand that. I understand that. 
Halden Shane: Our real product is going ahead and treating all these industries and developing a gold standard. The pandemic, obviously, got us all blindsided in the world. And after we came out with the amount of sales that we did, our product requires a significant amount of training, usually personnel training where we send a trainer to a facility and they train 10, 15 people at a time. What's happened is the pandemic has prevented that. 
 So we had to catch up on all our sales after the first half of the year, which we've been doing. And COVID, with all of us, has created not only new cleaning program -- protocols, but it's created an ability to go ahead and redo the way we train, the way we don't travel, the way we do our engineering and things like that. So we're now focused on that. So don't judge our revenue. I mean our growth is phenomenal. So... 
Unknown Analyst: So then let me ask -- let me rephrase... 
Halden Shane: Let me finish... 
Unknown Analyst: Let me rephrase for a moment. Let me rephrase for a moment. The -- if I look at the comparison in your -- in the revenue that's derived from training, what does that show me? 
Halden Shane: I don't know. What do you see? 
Unknown Analyst: Well, you I think believe said that your revenue -- you have an increased revenue in the third quarter from training activities. Is that correct? 
Halden Shane: No. 
Unknown Analyst: So your training activities have not maintained or... 
Halden Shane: I don't think you understand. When we sell a device, we sell it with training, and there's a revenue derived from that training. But we don't necessarily train that person at that time. It takes time to ship out the product, and it takes time to go through the training process. So some people who have bought products in the second quarter are getting trained now. So you cannot relate that. 
Unknown Analyst: So I can't look at the training aspect of your revenue stream as an indicator of how your company is being successful in the following quarters that -- which -- none would seem to lead to the other, and that's what I'm trying to get at. How do I look at this as the growth that I'm expecting it to be? Because I'm not seeing that. 
Halden Shane: So I think you have to look at what our quarter-over-quarter results are and our year over quarter. Again, we're a company that goes on a 12-month basis, and we compare our 2019 quarters to our 2020 quarters and so forth. And you'll be seeing the next, our 2019 performance compared to our 2020 performance. Look for press releases. Look for significant ways of... 
Unknown Analyst: Well, I've been looking daily for that kind of education, and I'm just not seeing it. Am I missing something? 
Halden Shane: Yes, we're not -- yes, you're missing the fact that we're not a company that goes out there and just gives press releases to give that. 
Unknown Analyst: I don't expect you to be. But I -- over the course of, say, from June through today, there has been very little or the report of -- since the press -- the conference call of the second quarter, there's been very little disclosure in terms of what's going on with the company. And that -- and I need some further clarity on that. 
Halden Shane: Okay. You have my e-mail, send it to me, we'll try to answer it. Will you... 
Unknown Analyst: I've sent it to you. I've sent it to your -- to Mr. Paul, and I don't ever hear anything back. Hello? 
Halden Shane: Next, Anthony? 
Operator: Your next question is coming from [ Jordan Cox ]. 
Unknown Analyst: Can you -- Dr. Shane, you mentioned something about possibly your budget being $38-plus million next year. Can you kind of talk about what has to happen between now and then for you to achieve those kind of results? What kind of mix between equipment sales and BIT Solution sales may be incorporated into that possible budget? 
 And then secondly, I guess I'm real interested in the USDA aspect of your product in combating listeria and all kinds of other things. Can you give me a little bit of update on how that's going as well, please? 
Halden Shane: Sure. So I think we're basing our revenue on what I can project and see in our pipeline, along with the fact that we're assuming, and this is an assumption, and don't forget our budgets, we don't submit to the Board probably until late December, I'm saying that we will begin to start to travel again. So hoping either the virus subsides and/or the vaccine is taken or restrictions are lifted. And that's going to get us out there to complete a lot of the large jobs that we know the industry divisions want to help go ahead and complete, et cetera. 
 Plus, based on our projections, our pipeline and a beefed-up sales force, which is extremely important to us, try to remember that we've been doing most of this all internally. We're just recently starting to develop a sales force where we have directors of each division and people that are earmarked to handle various products and upcoming products. So taking in consideration what we plan on doing as a company going forward, I feel comfortable in making those statements. 
Unknown Analyst: Okay. And then can you give -- go ahead. 
Halden Shane: Go ahead. No, go... 
Unknown Analyst: No. Go, please. 
Halden Shane: The second question about the FDA and food, it's always been a favorite of mine, the food safety, because I feel once it gets going, it should be one of the biggest of our divisions. We are in front of the EPA right now with a new product and a new label. We've been in front of it for some time. We're anticipating a PRIA decision, which is their decision of going forward, in December. So once we get that and concluding some of the initial studies we're doing, we should have a lot more color on that in the following calls or on press releases as soon as that happens. Julian? 
Operator: Your next question is coming from [ Julian Garza ]. 
Unknown Shareholder: Dr. Shane, first off, new investor, but I want to thank you and your team for everything that you do. The work that you guys have out there right now is significant. So thank you very much for everything that you guys are doing.
 You mentioned something earlier about a premier client that's being ready to be announced and onboarded. And I know that if you're in negotiations, you got to be very cognizant of what you say. But are you able to elaborate a little bit more just on what industry or just any kind of details that can be shared? 
Halden Shane: Yes. It's in the food safety end, but I really can't elaborate any further. Thank you for your question.
 All right. We got one more out there, and that's it. Anthony? 
Operator: [ Anthony Blazi ], your line is live. 
Unknown Analyst: So sorry if I missed this, but could you talk more about just your near-term pipeline? And you talked about your inability to travel and train your customers. Has this led to TOMI either missing out on business or having to push it out? I just think there might be some confusion about your sales cycle with them. 
Halden Shane: Yes. No, sure, I can, Anthony. So the travel restrictions have hindered us, there's no question, because our product requires to be shown, to be seen and to be demonstrated and to be trained. And that's what I think everybody needs to understand about it. So that has hindered it. Our pipeline is very, very strong. It's getting stronger each day as if you're listening on the call in relationship to people who are starting to leave some of these electrostatic sprayers and less-expensive products.
 So I anticipate this coming to an end where we will soon -- and I don't know what soon is. I can't define that. You know as much as I do about that part of it in relationship to being able to travel. And we have new materials going out. We have a lot of people that are very much interested in our new product, the SteraPack, and we're in the final phases of development in that. And I think that's going to make a big difference going forward in this type of market where you're looking for a product that's not as expensive as our life science, health care products that we currently have and one or more reasonably priced backpack that will be able to give them the security and the good feeling that what their spraying is getting killed on all surfaces, electronics and all materials without having any caustic results or having any excessive health risks to the user.
 So I hope that answers it, and thank you. 
Unknown Analyst: Can I actually ask one more question? Am I still live? 
Halden Shane: You're still live for about 10 seconds. Go ahead. 
Unknown Analyst: All right. I appreciate that, and I'm not trying to take too much of your time. Could you just talk about M&A? Do you guys have any opinion on M&A and if you were to get approached and would you tend to sell the company? 
Halden Shane: We don't comment on that, Anthony. But thank you for the questions. And I hope everybody that's listening still has a safe day, and thank you for joining us. We're very excited here at TOMI. Thank you all. 
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.